Operator: Good morning. My name is Wyndis and I will be your conference operator today. At this time, I would like to welcome everyone to the second quarter ‘08 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question-and-answer session. (Operator Instruction). Thank you. I would now like to turn the call over to Mr. David Roberts. You may begin your conference.
David Roberts: Thank you very much. Good morning everyone. Attending the meeting with me this morning is Carol Lowe, our CFO and Steve Ford, our General Counsel. Since it's earnings season; I know it’s going to be a busy morning for everyone. I am going to turn this immediately over to Carol. Let her walk us through the remarks, and then we will open the meeting up for questions after that. So, Carol?
Carol Lo: Thank you, Dave. Good morning everyone. Carlisle reported a year-over-year increase in sales of 17% for the second quarter ‘08. Organic sales growth was 8% and acquisitions contributed an additional 8%. Of the total increase in net sales of a $124 million for the quarter, volumes represented 35%, price represented 16%, and acquisitions represented an additional 49%. Operating income increased 6% for the second quarter 2008, compared with 2007. Core business represented 92% of the total second quarter operating income and acquisitions represented 8%. Significant raw material cost increases have resulted in reduced income leverage from the company’s sales growth, as evident by our decline in operating margin from 11.4% for the second quarter 2007 to 10.4% for the second quarter ‘08. Costs have increased across almost all of our raw material. Natural and synthetic rubber represents approximately 25% of raw material purchases. Steel and metals represent approximately 12%, resins 10% and chemical 25%. We have implemented numerous price increases today and we will pass along additional price increases during the last half of the year to move towards recovery of these raw material cost. We reported income from continuing operations of $56.9 million or $0.93 per diluted share for the second quarter of 2008. Net sales increased 15% year-over-year for our construction material segment, and organic growth of 12% with increases in EPDM, TPO, insulation, coatings and waterproofing in international sales. The segment sales growth was primarily on volume. Insulfoam acquisition contributed $12.6 million in sales. Construction materials, unrecovered raw material cost increases continue to result negative year-over-year margin comparison. At June 1st, price increase for the segment averaged 5% and additional price increases have been announced for the last half of the year. The transportation product segment reported a 4% sales increase for the quarter driven primarily by our specialty trailer business. Wind energy blade haulers, heavy haul and extendable trailers contributed the strong growth at Trail King. In our tire and wheel business, consumer outdoor power equipment sales declined 28%. This decline was offset by growth in commercial outdoor power equipment, as well as agri and construction and replacement tires. The decline in consumer OPE volume has contributed to reduce margins for the segment on lower absorption of cost. Tire and wheel has realized second quarter year-over-year cost increases of 37% for steel, 39% for synthetic rubber, 38% for natural rubber and 24% for carbon black. Both our trailer, and tire and wheel businesses have passed along price increases, and additional increases are planned for the third and fourth quarters. Tire and wheel is also aggressively working on improving its operating costs. Applied Technologies reported a 63% increase in net sales for the quarter with acquisitions accounting for most of the growth. We experienced growth in our aerospace wire and cable products as well in our RF/Microwave product. Our food service business net sales increased on growth for national accounts, jan/san products as well as stronger international sales. There were several factors contributing to the year-over-year decline in margins for Applied Technologies. The push out of the 787 program by Boeing resulted in reduced margins for our wire and cable business. We added resources at the beginning of the year on projected 787 volumes, and incurred higher unobserved cost in the second quarter ‘08 as these volumes slowed. While the decline in volume is a delay and not a cancellation, we are taking steps to bring our capacity levels in one line with revised sales forecast. SG&A expenses for both Carlyle and Dinex operations are notably higher as a percent of sales; they are our core aerospace and food service business. These expenses will be brought inline as we integrate both of these acquisitions. Applied Technologies margins were also impacted by raw material costs, and additional price increases will be affected during the third quarter. Specialty Products grew year-over-year sales for the quarter by 16%. Off-highway brakes grew double-digit on strong Ag and mining demand. Our refrigerated truck bodies business experienced growth just under 10%. Operating income increased 19% over the second quarter of ‘07 and operating margin improved to 17.7%. The outlook for the balance of the year for both Industrial Brake & Friction and Johnson Truck Bodies is very positive. Cash provided by operating activities of $86 million for the six months ended June 30th ‘08, compared with $41 million for the same period in '07 excluding the $150 million of proceeds in 2007 related to the securitization program. We reduced the cash used for working capital and other assets and liability for the six months of '08 by 60%, as compared with 2007. The share repurchases of $4.8 million representing 122,000 shares in the cash flow statement occurred all during the first quarter of 2008. There have been no share repurchases in the second quarter. Our net debt to capital was 32% at June 30th. Our full year capital expenditures are forecasted at $75 million. Depreciation and amortization is forecasting at approximately $70 million and interest expense is forecasted at approximately $25 million. Our full year effective tax is projected to be 33%. And with those remarks, I'll turn the call back over to Dave.
David Roberts: Okay, if you could open the floor for questions, please.
Operator: (Operator Instructions) First question comes from the line of Wendy Caplan with Wachovia.
Wendy Caplan - Wachovia: Thanks, good morning.
David Roberts: Good morning, Wendy.
Wendy Caplan - Wachovia: During your prepared remarks, Carol, you talked a lot about price increases. Can you give us some sense of what you; in terms of what you put into effect already, what we're seeing in terms of pricing that’s ticking and your anticipation of what we should see in the second half year.
David Roberts: Yes Wendy. Most of the price increases went into effect late in the quarter. Late in the second quarter and others that are planned for the remainder of the year. Probably the easiest one to talk about would be construction materials - we had 5% that went in June 1st that appears to sticking. Another one planned for August 1st at 5%; October 1st and December 1st as well have been announced. Now, we’ve had price increases in our tire and wheel business, particularly in the replacement cycle. We’ve had price increases on the average of 8%, 9%, 10% that are sticking there and we have more planned for the remainder of the year. If you look at businesses like Trail King, what we end up doing there is that as we quote a new trailer being built, we build in the new price, based on what the raw materials are. So, it’s tough to really determine what the effective price increase would be in Trail King. We’ve had price increases in the other businesses, but in the magnitude of maybe 5% to 8% on average and most of those coming either early in the quarter or later in the quarter being second quarter.
Wendy Caplan - Wachovia: Thank you, Dave and a follow-up. What kind of competitive response have we seen, notably in construction products?
David Roberts: I think that we’re seeing the competitors all follow-up. In fact what was interesting was that Johns Manville had non-competitive products, but what we saw in a letter that came out was, I think, originally a 7% increase in their asphaltic materials. They actually rescinded that and increased that to 14%. So, I think everybody is following us.
Wendy Caplan - Wachovia: Again, construction products, it’s an overcapacity situation today with the climbing demand. Can you comment on what you’re seeing relative to capacity at this point?
David Roberts: Yes. I don't think we are really seeing a decline. I think what you are talking about is TPO more than anything. What we are seeing is that because of the price of asphalt, people are making their conversion to TPO faster than what we really had anticipated, and I think that capacity will be filled faster than what it was anticipated when it was built. Now it's just a quarter, depending on what happens to oil prices and so on, but I think the situation with TPO being in an over capacity situation, is going to be short-lived.
Wendy Caplan – Wachovia: Thanks very much.
David Roberts: You're welcome.
Operator: Next question comes from the line of Peter Lisnic with Robert W. Baird.
Peter Lisnic – Robert W. Baird: Good morning everyone.
David Roberts: Hey good morning Pete.
Peter Lisnic - Robert W. Baird: I guess, if we can first start up with that last comment on TPO capacity. It looks like you've added up new line and that's built into the CapEx forecast, right?
David Roberts: That's correct.
Peter Lisnic - Robert W. Baird: All right. The construction material segment, most of the growth was volume. I'm wondering if you could give us a sense as to what visibility it looks like in that business, not necessarily over the next quarter, but two, three, four quarters up?
David Roberts: Sure.
Peter Lisnic - Robert W. Baird: Maybe help us address what the biggest concern out there is outside raw materials and asphalt. How are you rolling over?
David Roberts: Pete the only thing I can tell you is that the third quarter still looks like it is doing pretty good. We've got some visibility in the fourth quarter. We are starting to sense that there is some slowing, but not a dramatic slowing yet. We've seen some projects that have been delayed or some that have been postponed, but not a significant amount of those that we are seeing now. Our visibility in '09 isn't good just because we generally work on a quarter or two quarter basis more than anything, but we've heard rumors in the market that there will be some situations where projects will get delayed, just because they can't get financing forum, and we are just anticipating what that’s going to do to our business. We think it will be a minor impact if at all, primarily because there are other dynamics working in the market that should offset it. I mentioned the asphalt. We think that replacement roofing is going to grow at a higher rate; they're become a higher percent of our total business just because of asphalt, the group is becoming more expensive. There is insulation with energy conservation, and other things that are occurring and we think that will be a positive force as well. So, we are not anticipating a major slowdown in the construction materials business.
Peter Lisnic - Robert W. Baird: Okay. If you could remind us again, what is replacement right now? Is it around 50%?
David Roberts: Yes. We think its 50 today. I mean, we were talking probably a year ago, where it was 40 to 45, we think its probably 50 today.
Peter Lisnic - Robert W. Baird: Okay. Then just on the insulation side, is it safe to assume that the commodity cost pressure is also impacting that piece of it as well?
David Roberts: No question. Now that’s a market that has over capacity. There is no question in the insulation business, with exception of that for the roofing insulation, where we've got a pretty good market share. But, there is definitely commodity price increases that are causing some margin decline in the insulation business.
Peter Lisnic - Robert W. Baird: Alright and that's what I was wondering about - whether or not you can get price to stick in across the product lines - whether that be either TPO or?
David Roberts: Yes. I think we are probably going to be okay on the membranes, and also okay on a system roof, but I think if we are selling insulation, it's going to be difficult insulation only.
Peter Lisnic - Robert W. Baird: But your insulation only is not a great percentage of volume, is it?
David Roberts: No, it's very small.
Peter Lisnic - Robert W. Baird: Okay. Alright, thank you very much.
David Roberts: You are welcome.
Operator: Question comes from the line of Saul Ludwig with KeyBanc.
Saul Ludwig – KeyBanc Capital Markets: Hi, good morning guys.
David Roberts: Good morning Saul.
Saul Ludwig – KeyBanc Capital Markets: With regard to this question about the outlook for construction materials, what specific indicators or services do you look at that help you build the forecast for say 2009, and what are those indicators telling you?
David Roberts: Yes, Saul. I mean, there is no one indicator out there. We look at a variety of things. The best thing that we've got is just intelligence coming back from the field. Our conversation with our contractors and folks like that, the architects, really is the best indicator we have. I think there is some nervousness out there, as far as what's going to happen in the market in '09, but I don't see panic in the market yet.
Saul Ludwig - KeyBanc Capital Markets: Yes, I thought one of the most interesting comments that you made in your release, Dave, was that you expect the organic sales growth for the full year to approximate the current growth rate, which is let's say you expect the full year. The way I read that is you expect your full year organic growth rate to be 8%.
David Roberts: Yes, 7% to 8%.
Saul Ludwig - KeyBanc Capital Markets: Alright, and it was actually a little less than that in the first half of the year and all that implies either equal to or a slight acceleration in the rate of organic sales growth, and I am wondering what is the basis of that optimism.
David Roberts: Well, we think it's going to be 7% to 8% and just looking out to what we've got, we're not a backlog business, but just the activity that we have today - the orders in house, the momentum in the business and so on. Saul being as honest as we can be, we think the business is going to be up 7% or 8%.
Saul Ludwig - KeyBanc Capital Markets: Could it be that maybe in the first half of the year, if were up 7%, it was maybe 5% volume and 2% price, whereas in the back end of the year, it might be 2% volume and 5% price as a way of getting to that number. That was more price rather than volume in the mix to get to that number.
David Roberts: Yes, I think there will be some price once launched in the second half, there is no question. Now I don’t think it was 2% and 5% in the first. I think that was more - it was almost all volume rather than price, but it will be aided by some price in the second half. But we are not planning 2% growth, 5% price.
Saul Ludwig - KeyBanc Capital Markets: Well, didn’t Carol say that in the first quarter and the second quarter that of the sales growth 35% was volume and 16% was price, so that would mean, that whatever price was volume was 2X?
Carol Lowe: Right in year-to-date of 13% is price.
Saul Ludwig - KeyBanc Capital Markets: What would be the volume year-to-date?
Carol Lowe: It’s 31%.
Saul Ludwig - KeyBanc Capital Markets: Acquisition would be 50?
Carol Lowe: 55%
Saul Ludwig - KeyBanc Capital Markets: 55%, but still the volume price component, if not, wouldn’t be 6 and 1, it would be more like using these numbers. I’m trying to get at the mixture based on what Carol gave us and I’m thinking in the second half of the year, might those be reversed?
David Roberts: Saul, I don’t think so, but I think there will be more price influence in the second half.
Saul Ludwig - KeyBanc Capital Markets: Do you think you will have,( unless the gap between prices and raw material costs) , How much of that cost you in the second quarter and to what extent do you expect that gap to close in the second half of the year?
David Roberts: Yes, you’re going to have to hold on a second. Yes, we just don’t have that data really broken out; I really can’t give that at this point.
Saul Ludwig - KeyBanc Capital Markets: Then finally you alluded to some plans regarding integrating these acquisitions. Dave the Dinex, the Carlyle you talked about some stages in fix cost structure intensely what you expected to do in that regard in the second half of the year and what do you expect the outcome to be in terms of savings that can be realized.
David Roberts: Well, there is certainly going to be integration that is going to take place certainly in both Dinex and Carlyle and there is still some integration underway in Insulfoam as well. If you look at those businesses I mean, I intend to get the SG&A back to where it was prior to the acquisitions in both foodservice and the integrated technologies business. So, we think that will take us probably 12 months from the time we made the acquisition and in 12 months the SG&A should be at a lower rate than what it is today.
Carol Lowe:
Saul Ludwig - KeyBanc Capital Markets: I’m not sure I understand that.
Carol Lowe: In terms of if looking at second quarter ‘07 versus second quarter ‘08.
Saul Ludwig - KeyBanc Capital Markets: Right.
Carol Lowe: The increase was split about evenly between volume and raw material costs increases.
Saul Ludwig - KeyBanc Capital Markets: I mean increased in cost of goods.
Carol Lowe: Yes, but also acquisitions contributed.
Saul Ludwig - KeyBanc Capital Markets: Right.
Carol Lowe: We haven’t broken out the detail for all that.
Saul Ludwig - KeyBanc Capital Markets: Okay, great. Thank you very much.
David Roberts: You’re welcome.
Operator: (Operator Instructions). We do have a question from the line of Deane Dray with Goldman Sachs and Company.
Deane Dray - Goldman Sachs and Company: Thank you. Good morning.
David Roberts: Good morning, Deane.
Deane Dray – Goldman Sachs and Company: Hi, just when you were clicking through on the price increases that are coming on commercial construction, you said June 1, August 1, October 1, December 1, are those all 5% that you were expecting to increase and have you ever gone through a period of price hikes like this before?
David Roberts: Deane, certainly not that I’m aware of, we haven't gone through a period where we have raw materials going up like we've had. To answer your question, in recent memory, we think Carlisle, no we have not.
Deane Dray - Goldman Sachs and Company: All those 5% increases are the…
David Roberts: Yes, they are in that area, but yes, general would be 5% that we want to use.
Deane Dray - Goldman Sachs and Company: Okay and then over tire and wheel, give some update as to where inventories looking home channel right now and is there any restocking expected and what are the expectations?
David Roberts: Well probably the best way to determine that is, that there is still strength in the commercial OPE market. The Ag market is growing very nicely for us it’s up. It was for up 47 or 50 percentage sale for the year so far. So, it had nice growth there, where we really suffering is in our replacement tire business. The consumer side of the outdoor power equipment is soft and then our wheel is soft. So, we have got so much immature adjustments that we are making in those areas. Frankly, we think we’ve got too much inventory within all of Carlisle, that will be working off. But I think all in all, anything related to commercial equipment and Ag equipment is doing very well. We think we had adequate inventory levels there. If you look at the other units that I mentioned we’ve got some immature to work off.
Deane Dray – Goldman Sachs: How about any exposure to the mining sector?
David Roberts: Very little. We do some smaller tires, but not worth or even mentioning to be honest.
Deane Dray – Goldman Sachs: Okay. Then, just going through the release this morning, I saw improved demand at Johnson Truck Body. Is that a one order, or is there any trend going on there?
David Roberts: No, it’s a trend. It looks as though the requirements for the new diesel engines for 2010 is going to start driving some demand again. We see the second half, we've got orders in house from more than one customer. And we think that will continue through 2009. We think, it will get stronger as the year goes.
Deane Dray – Goldman Sachs: The comment about on track to sell the belt business and on-highway braking, if you're-- at the point where you are commenting on what you think the net after-tax cash proceeds of $100 million might be, sounds like you're pretty down close?
David Roberts: Well, I don’t know if we are close. We have books that write on both businesses. We've had a number of preliminary interest statements that have come in. I think power transmission is probably closer than the on-road breaking business, but we've had a high degree of interest in both of the businesses.
Deane Dray – Goldman Sachs: Good. And then, it was nice to see this new initiative on the Carlisle Operating System, and if I had to pick someone in your organization who would make more sense to head it, nice to Jerry Thomsen getting the nod. So, what do you expect of out that initiative and what should we be looking for in terms of next data points?
David Roberts: Yes. I think that it's going to take us really a good 12 month period of time to get any real traction out of it. In fact Deane, we're down in August to doing this meeting. We've got all of our tire and wheel operating people are in a hotel here that are working with the company, that we hired called TBM. We are focusing on all the businesses, but this is where we think we have the best opportunity. I would hope within 12 months, we’ll see significant reduction in inventory, reduction in facilities and everything else that goes along with that.
Deane Dray – Goldman Sachs: So what’s the plan for deploying Jerry as a resource? Is he going to be, like a one-man SWAT team going to all the operations?
David Roberts: No, actually we’re training people on every one of the operations. Jerry’s job is to make sure that he coordinates the activity of this organization TBM that we’re using. He then enforces and manages the implementation of Carlisle events so and so forth throughout the operations. So he’s more than a one-man SWAT team. But yes that is, he is leading the SWAT teams that are going through every other company..
Deane Dray – Goldman Sachs: Good, nice to hear and then nice recovery in the cash generation in the quarter. Should we be surprised that they were no buy backs, and how do you feel about your stock here and wouldn’t that make sense to be out there in the open market?
David Roberts: Absolutely, it would, the issue we’ve got is that we’re looking at a few things, and we all just want to make sure that we’ve got capital available if they develop into something.
Deane Dray – Goldman Sachs: Speaking, so looking at a few things would imply M&A activity, just give us a sense of the pipeline, asset, attractiveness, valuations and so forth?
David Roberts: Yes, we find that we’re focused really in the two main areas, and that is our interconnect technologies business along with our food service business. We think that there is plenty of opportunity out there. We see businesses that are up for sale. Frankly, the prices haven't gone down much from what they were a year ago, but it could be really a sense to what the businesses were looking at as well. I mean, these are good growing businesses and we are continued to pursue things in those areas.
Deane Dray – Goldman Sachs: Dave, just make sure we are clear on that. We used to be guessing that there was more opportunities in the wire and specialty foodservice areas?
David Roberts: Yes.
Deane Dray – Goldman Sachs: Okay, good. All right thank you very much.
David Roberts: You're welcome.
Operator: Yeah, do have a follow-up question from the line of Saul Ludwig with KeyBanc.
Saul Ludwig – KeyBanc Capital Markets: Hi Dave, I saw that that there were no rubber made decisions to exit some of their plastic products businesses, I forgot which ones exactly, but were those businesses that tie to your foodservice at all?
David Roberts: Not really. They were really that some of their consumer products businesses that they got us all. I don't think that it really had much of an impact on our business.
Saul Ludwig – KeyBanc Capital Markets: Not the Johnson business?
David Roberts: No, I wish they would, but no it's not.
Saul Ludwig – KeyBanc Capital Markets: Okay. Then, as we look to the second half of the year, what are your thoughts about some additional restructuring plan consolidations - I'm taking in the wheel business, maybe part of Dinex, Carlyle operations that you've acquired. Should we be expecting some element of some special charges associated with finalizing the right sizing, if you will off the Carlyle operations?
David Roberts: Saul, I don't think you are going to see--.
Saul Ludwig – KeyBanc Capital Markets: [Brand wheel] China, I mean, I've got a number of possibilities when I ask that question?
David Roberts: We are looking at the same as what you are, but I don't anticipate any large charges I guess significant charges that we'll have to take as we go forward. We just aren't far enough or long to really identify. It looks bizarre, as soon as we get to that point, with certain, you all know, but I don’t anticipate any significant charges.
Saul Ludwig – KeyBanc Capital Markets: Hey, great thanks.
David Roberts: Okay.
Operator: (Operator Instructions). There are no further questions.
David Roberts: Okay, great. Let me just wrap-up here real quickly. As we said earlier the businesses are facing unprecedented raw material increases. But frankly we are very optimistic about revenue growth and profit growth as we go forward. Just quickly in transportation segment, we have got great momentum from the wind energy and heavy mining haulage equipment that we are selling. Then our Ag and construction tire business continues to grow at very nice rates nearly 50% quarter-over-quarter. Specialty Products, the off-highway braking business is really enjoying its best year ever driven by the Ag and heavy construction equipment businesses that were in. Applied Technologies, the market dynamics look very favorable for our Interconnect Technologies. Despite the slowing in the production of the 787, we think that will have some short-term impact on the business, but its still going to grow at double-digit rates. Foodservice, casual dining is soft, but frankly its offset by our jan/san products, so we are still very optimistic about what’s going on in foodservice. But let me address construction materials, it seems to be the business that everybody wants to or has some concern about. As I said earlier, we see still great moment going through the third quarter. Fourth quarter we think is going to be okay. We may see some weakness and I want to emphasize may, as we compare our fourth quarter 2007, primarily because we are seeing some projects that are either being placed on hold or cancelled altogether. But there are three trends that we think could soften any sales decline in that business. First of all, I mentioned earlier, the cost of asphalt continues decline. I think that's going to cause TPO roof to accelerate. Second, everybody is concerned about energy conservation. I think the Insulfoam acquisition that we made earlier along with our existing insulation businesses will be positive for us in growing. Then finally, the replacement cycle continues. We mentioned earlier that we think that's as high as 50% for our membrane products and frankly we think construction materials is going to be a very strong business over the next certainly a year. When you combine that with the fact that we grew 36% globally this year, now on a very small number, but we are getting momentum in both Asia-Pacific and Europe and we see that helping our business grow as well. So, that's the reason I guess I am cautiously optimistic about the growth in our business going forward. I would like to really thank everybody for attending the meeting. We will look forward to having in our third quarter conference call. Thank you all.
Operator: Ladies and gentlemen, thank you for your participation. This does conclude today's conference call. You may now disconnect.